Operator: Welcome to the Tidewater reports results for the 3 months ending March 31, 2021. My name is John, and I'll be your operator for today's call. [Operator Instructions] Please note, the conference is being recorded. 
 And I will now turn the call over to Jason Stanley, Vice President of ESG and Investor Relations. Jason, you may begin. 
Jason Stanley: Thank you, John. Good morning, everyone, and welcome to Tidewater's earnings conference call for the 3 months ended March 31, 2021. I'm joined on the call this morning by our President and CEO, Quintin Kneen; our Chief Financial Officer, Sam Rubio; our General Counsel and Corporate Secretary, Daniel Hudson; and our Vice President of Sales and Marketing, Piers Middleton.  
 During today's call, we'll make certain statements that are forward-looking, referring to our plans and expectations. There are risks and uncertainties and other factors that may cause the company's actual future performance to be materially different from that stated or implied by any comment that we make during today's conference call. Please refer to the most recent 10-Q for additional details on these factors. This document is available on the website at tdw.com or through the SEC at sec.gov.  Information presented on this call speaks only as of today, May 7, 2021. So you're advised that any time-sensitive information may no longer be accurate at the time of any replay. 
 Also during the call, we'll present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in last evening's press release. 
 And now with that, I'll turn the call over to Quintin. 
Quintin Kneen: Thank you, Jason. Good morning, everyone, and welcome to the First Quarter 2021 Tidewater Earnings Conference Call. 
 Joining me in presenting our prepared remarks, as usual, is Piers Middleton; but also joining me today is Sam Rubio, our newly appointed Chief Financial Officer. I will open the call to some general commentary on the quarter. Piers will cover the markets in the various geographies in which we operate. And then Sam will wrap up the prepared remarks with an overview of income statement, OpEx, G&A, the balance sheet. And then, of course, we'll open it up for questions.  
 The first quarter is often a relatively quiet quarter. This first quarter was relatively quiet. The first quarter is the softest calendar quarter of the year, but I was pleased with the cash generation in the quarter. You may recall from last quarter that the P&L performance was much stronger than we anticipated, but the cash flow generation lagged behind.  As often is the case, cash flows caught up to those earnings in the first quarter.  
 Cash flow from operations for the quarter was $5.7 million. Free cash flow was $19.2 million bolstered by working capital inflows and proceeds from vessel sales. We laid out in the press release for you to pick the cash flow measure you like, whether it's cash flow from operations, free cash flow, levered free cash flow, whether or not you want to include asset sales. But whatever measure you pick, it's a positive cash flow measure.  
 Free cash flow for the trailing 12 months was $87.1 million. That includes $39.8 million of asset sales, which we anticipate winding down over the next 12 months. Quarterly revenue was slightly higher than what we expected, but operating costs were also slightly higher. 
 Overall, margins were about 2% below where we thought they would be for the first quarter. We came in just under 26%, and we were aiming for just over 27%.  For the year, we're still anticipating margins of 30%. My expectation is that we will make up the shortfall in the second and third quarters. 
 We used the cash generated in the quarter to pay off $26.4 million of outstanding debt. Net debt is down to $23.1 million. 
 We've made significant investments since 2018 to ensure Tidewater is the lowest cost operator of vessels while still delivering safe, best-in-class services. We have designed a scalable infrastructure that can swiftly adjust to market changes and remain free cash flow positive, and that design was put to the ultimate test over the past 12 months. 
 Importantly, the scalable infrastructure will allow for disproportionate profitability as the business grows. This business has a significant degree of operating leverage. Once the boats are operating, incremental day rate margins should drop 100% to operating profit.  Operating leverage has cut against us in the past 6 years, but it goes up on the same scale as it's gone down. We've designed a sustainable business that will be free cash flow positive in the worst of times and significantly cash flow positive in the best of times.  
 We sold 6 vessels in the quarter for $11 million. We sold 2 more subsequent to the quarter, and we have 18 vessels left in the assets held for sale category. Based on the recovery in the market that we see beginning to unfold in the second half of 2021, I don't anticipate reducing the vessel fleet any further than what we currently have in assets held for sale. After this lot is sold, I anticipate everything we own should be working by the end of 2022.  
 I am very much looking forward to getting out of the layup vessel business because that certainly have cost us $5.4 million in the first quarter. Annualized, that's $21.6 million of cost per year that we can add to the bottom line by getting all of these vessels out of layup. And in addition, there will be the operating profit from these currently idle vessels.  
 Our G&A costs continue to come down. That's now 9 consecutive quarters of G&A run rate cost reductions. Our annualized G&A expense for the first quarter was $64 million, down another $4 million from the last quarter. I mentioned G&A because I actually anticipate it will begin to rise a bit as we go through the remainder of 2021. I think I've said that on the last few quarterly calls, and it keeps going down. But we have to go to fill some open positions, and I anticipate travel expenses coming back as we get into the latter half of '21. Quite frankly, it's going down now just based on culture and momentum of earlier cost-saving initiatives.  
 Our big cost focus in 2021 is optimizing the cost of drydocks and minimizing the cost of vessels in layup, the $21.6 million figure I mentioned a moment ago. I still anticipate drydocks for 2021 to be approximately $20 million. The second quarter is the heavy drydock quarter this year. We anticipate approximately $9 million of drydock spend in the second quarter.  
 In our first reassessment of the recovery in the market after the pandemic broke out, it was on this call, the first quarter call last year. At that time, I indicated we thought business would be down 25% and that it would take 18 months for the industry to rebalance. Business was down 28% year-over-year, and I now anticipate it will be the first quarter of 2022 before we get back to where we were from a supply-and-demand perspective in the first quarter of 2020, essentially putting us back 2 years. The worst, of course, is definitely behind us. Pandemic-driven inefficiencies, which we estimate cost us 5% of revenue, are still impacting us. That's factored into our full year margin guidance of 30%. 
 Each wave of the pandemic has created different challenges, although they can all be generalized as increased costs associated with moving people around the world. The latest challenge results from the fact that approximately 8% of our mariners come from India, which is currently experiencing the most devastating impacts of the pandemic. Earlier in the pandemic, it was impacting the Philippines, another key source of quality mariners, about 26% of our mariners come from the Philippines. We continue to respond to the circumstances presented, but that 5% of revenue costs look to be with us for the remainder of 2021.  
 We recently published our first sustainability report, which provides a comprehensive update on a wide range of environmental, social and governance, or ESG, initiatives that provides a look into the programs in place of Tidewater and our key sustainability challenges and opportunities. Our safety culture is one of the best in the business. Our team logged over 17 million hours in 2020 with no lost time instance, achieving a company record, a real testament to the focus and dedication of our team despite the added challenges brought about by the pandemic.  
 We also made significant strides in our efforts to reduce greenhouse gases and other emissions through data analysis, operational efficiencies and leveraging technology, including hybrid and shore-based power systems. In 2020, we established a baseline for our fleet emissions, which will enable us to assess our progress as we continue to take actions to reduce our carbon footprint per vessel. 
 We were excited to take an opportunity to provide some insight into our unique company culture, and many of the actions we have been taking for years, decades, in some cases, to positively contribute to the communities we live and work in all around the world. I invite you to read the report and learn more about what we're doing.  
 That's a quick overview on the quarter. I will now hand the call over to Piers for an update on the vessel market in the various geographies in which we operate. 
Piers Middleton: Thank you, Quintin. Good morning, everyone. 
 Before I talk about each of the regions, I just want to make a quick comment around ESG and reiterate Quintin's comments. But at our core, this is something that has always been part of Tidewater's DNA. And it's great that with our recently published sustainability report, we're now able to more clearly showcase our stakeholders our historical as well as our future commitment to ESG. 
 As we look at the first quarter of 2021, we still face strong headwinds in the market going into the year in all regions. As Quintin has just mentioned, Q1 has always tended to be a relatively quiet quarter. But on a global basis, active utilization across the whole fleet was only down 1% at 78% compared to the first quarter of 2020. For the deepwater fleet specifically, we continue to see a rise in active utilization of 6% compared to the first quarter of 2020. 
 Average rates while slightly down from $10,267 per day in Q1 2020 was still a leading industry average of 900 -- $9,993 per day in Q1 2021. Globally, we had 1 more average active vessel working in the first quarter of 2021 than in the fourth quarter of 2020. And the average stacked fleet continued to reduce to 54 vessels in quarter 1 compared to 60 vessels in Q4 2020, a trend that we expect to continue throughout the year. 
 Our Middle East, Asia Pacific region continued to see solid demand relative to the rest of the world with total utilization and average day rates both up from the first quarter 2020. Active utilization for the quarter jumped to 84% compared to 78% in Q1 2020. Our average rates in the region also increased to $8,506 per day compared to $7,863 per day in Q1 2020. Vessel revenue for the quarter was down $400,000 compared to Q1 2020. Going forward, we still expect to see a pickup in demand going into Q2 and Q3 of this year. However, we may see 1 or 2 projects moving slightly to the right due to COVID-related delays in the region. 
 To West Africa where vessel revenues increased by $666,000 during the quarter compared to Q4 2020, average day rates for the region were $8,711 per day, an increase of $200 per day from the previous quarter. As we said throughout last year, West Africa bore the brunt of the downturn in 2020, but we have started to see a small incremental return of demand in Q1, which we expect to grow as we move through the year with the expectation that we will slowly start to reactivate some of our ships in the region to meet the slowly rising demand. 
 In the Europe and Mediterranean region, Q1 historically tends to be the softest quarter, but we had 2 more active vessels working in the area compared to Q4 2020, which was driven by the Med as we see an uptick in activity in that area. Vessel average rates slightly decreased from $12,368 per day in Q4 2020 to $11,960 per day in Q1 2021. And active utilization also decreased from 91% in Q4 2020 to 81% in Q1 2021, contributing to the $1 million decrease in revenues for the quarter. 
 While the winter months are historically quieter for the European market, we're starting to see a much stronger market in the North Sea develop through the next 2 quarters.  Similarly, in the Med, in addition to reactivating another vessel for work in Egypt, we have, in an industry first for the area, moved one of our hybrid battery OSVs to work in the Mediterranean, reinforcing our commitment as the world's largest and truly international operator of OSVs to focus on reducing emissions on a global basis. 
 Lastly, in the Americas region, active utilization was up 2% compared to Q1 2021 and average day rates for the quarter were up slightly from USD 11,854 per day in Q1 2020 to USD 11,865 in Q1 2021. However, the active fleet was down 7 vessels compared to Q1 2020, which contributed to the $5.6 million decrease in revenues for the quarter compared to Q1 2020. The region still faces challenges in 2021, but as mentioned on the last call, we'll start to see a pickup in tendering activity in both Mexico and the Caribbean areas, which point towards an improved second half of the year. 
 Thank you and over to Sam. 
Samuel Rubio: Thank you, Piers, and good morning, everyone. 
 I would like to take you through our financial results and also discuss some key components that make up these results and that we believe will be factors in the future. My discussion will focus primarily on quarter-to-quarter results from the fourth quarter of 2020 compared to the first quarter of 2021. 
 As noted on our press earnings release filed yesterday, we reported a net loss for the quarter of $35.3 million or $0.87 per share. Our revenue for the first quarter of 2021 was $83.5 million. This is $8.4 million or 9% less than the fourth quarter of 2020. 
 Active utilization at 78% was slightly higher than the previous quarter but was offset by the decrease in the average day rates mainly in the Americas region. The decrease is a lagging result of higher-value contracts that ended in December and replaced with lower-value, shorter-term contracts. In addition, the fourth and first quarters of any year are subject to mild seasonality as we have less activity in the North Sea. 
 While we benefited from some of the unforecasted additional contracts that resulted in higher revenue in the fourth quarter of 2020, we are still experiencing ongoing impacts from the pandemic. That said, the worst of the pandemic is behind us and, as Piers mentioned, we expect our activity in all areas to increase throughout 2021, especially into the latter half of the year. 
 Vessel operating costs for the quarter was $61 million, a decrease of $2.4 million from Q4 due mainly to lower mariner salary and travel costs as a result of fewer mariners or mix of mariners needed for the vessel activity in the period. We also incurred lower supplies and consumables and lower vessel insurance offset somewhat by higher R&M costs. 
 G&A cost for the quarter was $16 million, a decrease of $1 million from Q4 due mainly to lower salaries and benefits and lower professional fees. As Quintin mentioned earlier, this is the ninth consecutive quarter that we have reduced G&A costs. It is also worth noting that our quick response at the beginning of the pandemic and the rapid development of our team's abilities to ramp up or reduce vessel activity has allowed us to have timely responses to changes in charter activity. In short, we have been able to reduce both operating and G&A costs through real time with losses in revenue. 
 In the fourth quarter of 2020, we did record a $6 million asset impairment charge with no such expense recorded in the first quarter of 2021. As a result, the increase in our operating loss was less than $1 million in spite of the large revenue decrease. 
 G&A cost reductions and control have been one of our primary focuses since the 2018 merger. Our annualized G&A expense for the first quarter was $64 million. We incurred $73 million in 2020. Our benchmark, the combined 2014 G&A for Tidewater and GulfMark stand-alone, was $253 million. On our prior call, we targeted 2021 G&A costs to be $70 million. We now anticipate our costs for 2021 to be $68 million. 
 In the quarter, we had $2.7 million of deferred drydock costs compared to $3.8 million in Q4. Q2 will be the heaviest drydock quarter for the year, which we anticipate it to be approximately $9 million. And we anticipate the full year 2021 cost to be $20 million. We also incurred $1.2 million in capital expenditures in the quarter. We still anticipate the full year spend to be $8 million. 
 Free cash flow is a key focus for us. And once again, we achieved free cash flow of $19.2 million in the first quarter, continuing a trend of achievement that has found in the pandemic. The strong free cash flow was achieved by generating $5.7 million in cash from operating activities and vessel sales proceeds of $11 million. Since the beginning of the pandemic starting April 1, 2020, we have generated over $87 million of free cash flow. 
 On the last call, we discussed that a good customer of ours in Mexico has been paying -- has not been paying timely. Our balance with Pemex was approximately $26 million at the end of 2020. Their payment patterns have improved in 2021 as we received more than $7 million in Q1, even better, we've received another $9 million just a few days ago. We still have some work to do with Pemex, but these collections play a big role in achieving our free cash flow goals. Our dialogue with them is open and constant. And based on that, we remain optimistic that we will get this balance normalized over the next few months. 
 In Q4 2019, we began reclassifying vessels on our balance sheet from property and equipment to assets held for sale. And at that time, we reclassified 46 vessels. Most of these vessels have been stacked for a considerable time. In 2020, we added another 30 vessels to assets held for sale, and we sold 53, leaving the balance of 23 at year-end. During the first quarter, we sold 3 more vessels plus another 3 from active -- from the active fleet for $11 million. We have since sold 2 more vessels in April for $3 million, and we currently have 18 vessels left and expect to sell them this year. 
 During 2020, we repaid just under $100 million of debt and eliminated EBITDA to interest covenant in our indenture and tranche loan for the remainder of 2021. We continued this effort in 2021 by repurchasing another $11.8 million of the bonds in the open market and paying down $14.6 million of our tranche debt. Net debt at the end of Q1 was $23.1 million, which is a decrease of $14.4 million from the end of Q4 2020. 
 We continue to evaluate our options in the bank and debt capital markets with regards to refinancing the bond maturity in 2022. But we have -- we already have more cash today than the bond maturity balance and we fully intend to continue to be free cash flow positive. As such, we are confident in our ability to manage our debt maturities. 
 I now would like to focus on the performance in the regions. 
 Our Americas segment reported an operating loss of $1.7 million for the quarter compared to operating income of $1.5 million in Q4 2020. The area reported revenue of $26.2 million in Q1 compared to $32.1 million in Q4. The area operated 2 less active vessels in the quarter. Active utilization for the quarter was 88% compared to 86% in the prior quarter. However, day rates decreased 13 -- from $13,602 per day in Q4 to $11,865 per day in Q1. 
 Our Middle East, Asia Pacific area reported an operating loss of $1.9 million for the quarter compared to a loss of 3.9 -- $3.5 million in Q4 2020. The area reported revenue of $24.4 million in Q1 compared to $25 million in Q4 and operated 2 less active vessels in the quarter. Active utilization did increase to 84% in Q1 compared to 75% in Q4. However, day rates declined from $9,002 per day in Q4 to $8,506 per day in Q1. 
 Our Europe and Med region reported an operating loss of $8 million in Q1 compared to a loss of $4.6 million in Q4. The area reported revenue of $14.7 million in Q1 compared to $15.8 million in Q4. The area operated 2 more active vessels in the quarter. However, active utilization was 81% in Q1 compared to 91% in Q4. And day rates decreased from $12,368 per day in Q4 to $11,960 per day in Q1. 
 Our West Africa region reported an operating loss of $6.8 million in Q1 compared to a loss of $8.5 million in Q4. Revenue for Q1 was $15.6 million compared to $14.9 million in Q4. The area operated 3 more active vessels in Q1. Active utilization decreased to 60% in Q1 from 63% in Q4. However, day rates did increase to $8,711 per day in Q1 compared to $8,510 per day in Q4. 
 Since the beginning of the pandemic, our Middle East, Asia Pacific region has posted results comparable to prepandemic operations, employing a similar number of vessels. The Americas results have also been in range of prepandemic results, showing only slight reductions overall. 
 The areas most affected by the pandemic were our West Africa and Europe and Med regions. But these regions have experienced significant -- both these regions have experienced significant reductions in vessels employed, total revenues and operating profit. In the first quarter, we experienced a small increase in inactivity in West Africa. Europe and Med results in Q1 '21 were lower than the prior quarter, but this reduction was also caused by the winter season in the North Sea. We expect both of these areas results to improve throughout the remainder of the year. 
 I will now turn the call back over to Quintin. 
Quintin Kneen: Thank you, Sam. And on that note, John, we will open it up for any questions. 
Operator: [Operator Instructions] And at this time, we have no questions in queue. 
Quintin Kneen: Well, John, very good, and thank you, everyone, for listening. We will update you again in August. Goodbye. 
Operator: Thank you, ladies and gentlemen. That concludes today's call. Thank you for participating. You may now disconnect.